Operator: Good day, and thank you for standing by. Welcome to the fourth quarter 2024 Frontline Ltd. earnings conference call. At this time, all participants are in listen-only mode. After the speaker's presentation, there will be a question and answer session. To ask a question during the session, you need to press star one one on your telephone keypad. You will hear an automatic message advising your hand is raised. To withdraw a question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to our first speaker today, Mr. Lars Barstad. Please go ahead.
Lars Barstad: Thank you very much, dear all, and thank you for dialing in to Frontline Ltd.'s quarterly earnings call. Being in the tanker industry, we are used to evolving and ever-changing markets, largely affected by geopolitical events. It is becoming a little bit exhausting having potential seismic shifts by the hour. At Frontline Ltd., we manage to stay calm, trade our ships, and wait for the facts or actual outcomes instead of attempting to analyze every statement out there. A red line in all the action is focused on sanctions enforcement and a widening scope within that realm, which we welcome. Before I give the word to Inger, I'll run through the TC numbers on slide three in the deck. In the fourth quarter of 2024, Frontline Ltd. achieved $35,900 per day on our VLCC fleet, $33,400 per day on our Suezmax fleet, and $26,100 per day on our LR2/Aframax fleet. So far in the third quarter, 80% of our VLCC days are booked at $43,700, 77% of our Suezmax days are booked at $35,400 per day, and 64% of our LR2/Aframax days are booked at $29,700 a day. Again, all these numbers in the table are on the load-to-discharge basis with the implications of valid state. At the end of the quarter, with anchors. With that, I'll give the word to Inger. I'm gonna move to page three in the deck.
Inger Klemp: Yes. Thank you, Lars, and good morning and good afternoon, ladies and gentlemen. We are now on slide four, profit statement. We report a profit of $66.7 million this quarter or $0.30 per share, and an adjusted profit of $45.1 million or $0.20 per share. The adjusted profit in this quarter decreased by about $30 million compared with the previous quarter, and that was mainly due to a decrease in our TCE earnings, but it was partly offset by a reduction of expenses as well. Then we can move to slide five, balance sheet. The balance sheet movements in this quarter are related to the sale of a vessel, repayments of debts, and also refinancing, in addition to ordinary items. Frontline Ltd. has a solid balance sheet and strong liquidity of $693 million in cash and cash equivalents. That's including the undrawn amount of the senior unsecured building credit facility, marketable securities, and minimum cash requirements as per December 31st, 2024. In the first quarter of 2025, we have further strengthened our strong liquidity with revolver capacity of up to $91.9 million. We have no newbuilding commitments and no meaningful debt maturities until 2028. Then you can move to slide six. Our fleet consists of 41 VLCCs, 22 Suezmax tankers, and 18 LR2 tankers. It has an average age of 6.6 years and consists of 99% eco-vessels, where all 56% are scrubber-fitted. We estimate average cash cost breakeven rates for 2025 of approximately $29,200 per day for VLCCs, $24,000 per day for Suezmax tankers, and $22,200 per day for LR2 tankers, with a fleet average estimate of about $26,200 per day. This includes drydock of two VLCCs and one Suezmax tanker in 2025. We recorded OpEx expense deducted in the fourth quarter of $7,600 per day for VLCCs, $9,100 per day for Suezmax tankers, and $7,600 per day for LR2 tankers. This includes the startup of one VLCC and one Suezmax tanker. The Q4 2024 fleet average OpEx excluding drydock was $7,400. Okay. Then you can move to slide seven, cash generation.
Sherif Elmaghrabi: With about 30,000 earnings days annually, Frontline Ltd. has a substantial cash generation potential. As you can see from the graph on the right-hand side of this slide, the cash generation potential at current fleet and spot market earnings from Clarksons Research as of February 28, 2025, is $447 million or $2.01 per share. And a 30% increase from current spot market will increase the potential cash generation by about 80%. With this, I leave the word to Lars Barstad.
Lars Barstad: Thank you very much, Inger. Let's move to slide eight. We've done the presentation a little bit differently this time, basically trying to focus a little bit on what we regard as a normal market, which is basically everything besides what's going on in the media and around tariffs, sanctions, war, and whatnot. So global oil consumption averaged 103.4 million barrels in Q4. That's a fairly good number, up 1 million barrels per day year on year. This is expected to reach 104.5 million barrels by year-end. In a normal market, this wouldn't be looked upon as a very firm development within the calendar year. Global supply was up 600,000 barrels per day. OPEC maintained their production cuts in December 2024, and we actually are expecting inventory to start building in 2025, at least according to the EIA. For Q4, and this kind of to a large degree explains some of the disappointments we've seen in rates, global oil exports were actually down 700,000 barrels per day. Q4 2023 alone was down 1.5 million barrels per day. This can be explained partially by what is expected to be seen as the inventory draws during the period. You also need to remember that we saw, in particular, Iran hiking their exports in October, making the basic gradation markets quite well supplied with molecules into Q4. This is obviously material not benefiting the compliant tanker fleet. We continue to see, in Q4, new ordering, but we also saw that the delivery window for any kind of asset you want to build moved firmly into 2028, maintaining the three-year lead time in order to get the vessel on water. The average fleet size for tankers is, at this day, 13.7 years. This is the highest since 2001. It's the regulatory framework. Compliance check owners are actually favored. If you look at the asset classes Frontline Ltd. operates in, we also see it's Suezmax and LR2/Aframax. 46% of the vessels are over 15 years now, meaning that they will be up for replacement over the next five years. And as we speak, 20% are above 20 years. And this kind of shows us that an order book of 15% is manageable in this scenario. Basically, what you're trying to argue is that if you see beyond the noise, the tariff and sanctions narrative, and all the unrest around us, which we don't expect to hurt demand materially, the only effect we may see is that trade efficiency will be reduced, and then we'll basically have a more or even an increase in efficiency in how the ships sail and then longer trade lines. The backdrop remains quite good for tankers. I think it was a good reminder for our listeners that beyond everything else, there is actually normal market functioning. So we're also gonna spend an entire slide on talking about sanctions and tariffs. These are questions that we receive every day from various investors, journalists, and whatnot, basically on all the headlines that are coming out as we speak. So let's first have a look at tariffs on Mexico, Canada, China, and the EU. Depending on the outcomes, and this is always a big question, what will actually come to effect in the end? These tariffs also incur a material energy exposure. The US imports around 4 million barrels of crude oil from Canada every day. China only imports a very modest volume from the US, which may come as a surprise to some. This is around 200,000 barrels per day. Mexico exports in total 800,000 barrels per day, half goes to the US, so around 400,000 barrels per day. Then again, the US exports to Mexico 600,000 barrels per day, meaning that if oil and energy get weaponized in this tariff discussion between these countries, it can actually become quite interesting to see how that plays out for the tanker industry. Then we have the more recent US trade representative or USTR $1.5 million fee on Chinese-built tonnage. So 22% of global tanker fleets are built in China. Frontline Ltd. is exposed on Suez, a lot of China, but all our VLCCs are built either in Korea or Japan, and we have no vessels on order in China. This is, yes, kind of out being heard. It's not been put in law or no legislation has been created yet. It will be interesting to watch. But again, the only outcome here would be for altering trade lengths and more inefficiency on the half ships trade. Then you have maximum pressure on Iran or a solution on Iran. So let's look at those two scenarios here. The first one, maximum pressure, would potentially remove oil from Iranian oil access to the market. This means that this oil needs to be replaced, likely potentially from OPEC, but that would be compliant oil that needs compliant ships, and again, beneficial for us that operate in the compliant market. If a solution is found and suddenly Iranian barrels stop being sanctioned, that will, well, sorry, the previous one would also incur floating storage needs as Iranian oil would back up. Look at the other side of this, the removal of sanctions altogether would even be potentially more bullish for tankers, for compliant tankers, as Iranian oil will become compliant, and compliant oil needs compliant tankers. Then you have Russian sanctions, whether if they're increased or the pressure is heightened, or the other side of it if it's removed. So the increased sanction pressure, I think we're already seeing the beginning or the results of that. We see not on the export side because we actually see the barrels still move, but on the import side, we already see in the statistics that not only Russian, also Iranian and to some degree even Venezuelan imports globally are falling. So basically, the floating storage must be built. But anyway, an increased sanction pressure makes the trade around those barrels more complicated, and it's tying up more tonnage, basically taking tonnage out of the compliant market into the gray or the dark markets. If you turn that around and say that you remove all the sanctions overnight, you also have to bear in mind then that it's very easy to remove sanctions on oil. That could probably be done by the stroke of a pen. But removing all the sanctioned vessels from OFAC and EU lists is potentially a bit more complicated. Even if that could happen, bear in mind, and we've indicated that on the chart on the bottom right-hand corner, more than or close to 50% of the Russian trading fleet is about 20 years. And if you remove sanctions, that does not change the policy charters have on this 20-year cap. And that's when previously stated. That's probably to remain firm until the market becomes so expensive, or freight becomes so expensive that the charters are incentivized to ask their vetting departments to move beyond the 20-year age cap. Also, a very important part in this narrative is, are US Treasury OFAC and EU gonna be aligned if sanctions are lifted or sought lifted on Russia? Then we have also recently Venezuela exemptions. So the US seems to be having a new position on Venezuela, and the exemptions given for lifting and selling crude. This is supposed to pull pressure on production expansions and exports from Venezuela. Venezuela has actually, maybe to this is a surprise to some, grown their exports from 550,000 barrels to 800,000 barrels year on year. And actually, on preliminary tracking data, they were able to churn out a million barrels per day in December. But then we have another part here, which is this Shandong Port Authority basically aligning themselves with OFAC and not allowing OFAC-listed vessels to discharge in that province. This might change. This happened almost simultaneously as OFAC expanded their list of sanctioned vessels by close to 160 tankers. And, obviously, any expansion on that OFAC list will hit this directly. But it is a game changer because it's, you know, when you can't actually enforce sanctions, the only hope is that somebody will self-sanction. And this is effectively what the Shandong province and a very important import hub in China has done. Further to that, India has, at least, so far, seemingly followed suit and also kind of preventing or forecasted the source of this charge in networks. One small side comment there for China. This might have an alternative motive. China has an interest in evening the playground between state and privately-owned refineries. People are very present in this province and which to a large degree have taken advantage of cheap feedstock coming from Iran. And then lastly, in this kind of fairly extensive list of moving parts that we as the tanker owners are exposed to, we have the Red Sea, Israel, and the Hamas situation, and, of course, in relation to the Houthis and their actions in the Red Sea. So we believe the risk continues. It ebbs and flows with the developments in Gaza. But it's still so that as a tanker owner, we're not necessarily incentivized to go through. We don't mind taking the long way around. And, also, we don't see currently any mass pressure from charters to move through the region either. And the situation is still high risk. We would argue, not necessarily because ships have been attacked in the Red Sea, which they haven't, but something might go wrong in the peace process and in the ceasefire. And then things can escalate extremely quickly. And I also wanted to make a note on this or focus here on this slide and look at the top right-hand chart. The blue line is how the fleet development actually has been. That orange line is if we'd lived in the normal world where ships did not trade sanctioned oil, and ships got recycled on or around their 20-year anniversary. Looking at this, the conventional tanker fleet, if you look at the VLCC, Suezmax, and Aframax, actually stopped growing in 2022. Have you done that exercise for VLCC alone? It stopped growing in September or October 2021. So you actually have negative fleet growth in the compliant or below 20-year markets for, well, close to three years now. Keep that in mind. Let's move to slide ten. And this basically is to show how much is in this, you know, how much is exposed to all these political moves and what's going on in the world around us. So let's move back to pre-Russian invasion and go back to 2019. Europe imported around 10 million barrels per day of oil. Then the war broke out, and Europe lost 1 million barrels of Russian oil. They lost a little bit from that, but the Atlantic basin, the US, Brazil, West Africa, and so forth, increased its supply into Europe by 1.2 million barrels. 388,000 incremental barrels were sold from the North Sea, and others amounted to 208,000 barrels per day. At the end or in 2024, Europe has consumed 10.8 million barrels per day. This is not like a massive growth. It's a small incremental growth. If you look at the volume changes here, they're quite remarkable. And for a shipper, we don't necessarily want Europe to source it from the Atlantic basin. That oil we want to move east. And that oil has traditionally moved east, but, obviously, as Russia has taken market share in the eastern market, the Atlantic basin has been locked inside the Atlantic basin. Then moved to Asia. Pre-invasion, Asia had 21.7 million barrels per oil of imports, the war broke out. They lost 600,000 barrels from the Atlantic basin. The further loss, almost all that went into or stayed in Europe. 300,000 barrels from the North Sea. They lost 170,000 barrels from the Med. In came 1.4 million barrels per day from Russia. Iran managed to increase their exports by almost half a million barrels. And the Middle East contributed with half a million barrels. And as we, you know, came into or finished off 2024, Asia is importing 23 million barrels. And it's interesting to see that that growth in that two-year period has predominantly come from Russia and Iran. And this is obviously oil that is not available to a compliant shipowner, to the Frontline Ltd. fleet, or to and it's basically benefited the growth of this dark trade. A reversal of this trading pattern would be hugely beneficial for the markets we operate in and would further change the trade lanes back to the more normal. Russian stays local, where it's supposed to go, and the Atlantic basin replaces the lack of Russian oil going long east. So let's move to page eleven and look at order books. So we have actually added the column here which we call OFAC. And it's quite interesting. So basically, just so you get a measure of how many ships are on the OFAC list. And I'll tell you, you know, it's, you know, it's people say quite casually. But this ship is on an OFAC list or this company is on an OFAC list. Well, you don't want to be on an OFAC list. It basically gives the US a free card to go and grab your money. If you have a US-dominated account, they can just go and take it. And people don't necessarily want to have that hanging over them. So basically, the VLCC fleet now is estimated to be around 84 vessels. 40% of that is about 15 years. And 18% is above 20 years. The order book stands at 9.8% of the existing fleet. And there's a hundred or we're close to a hundred ships on OFAC lists. Suezmax again. The fleet is 614 vessels. 44.3% of those vessels are above 15. This is why I previously mentioned that the overall average age of the fleet is 13.7. It starts to make sense. You go up to the 21.2% of that fleet above 20 years currently? And the order book stands at 97 or 15.8%. And then we have the LR2 and the Aframax. On the LR2 side, as we mentioned before, the order book looks very chunky. But then again, with the modest Aframax order book and the way these kind of interact and the way they trade, or switch between clean and dirty, we're not about that order book either. Quite interesting to see that 60% of the Aframax fleet is about 15 years, and 30% is about 20 years currently. That kind of puts some perspective into that's on first glance looking quite chunky. So let's move to slide twelve and see if we can sum it up. I put that headline up there called pending bull markets. I know that investors and ourselves, of course, would like any action happening out on a headline or in the political world to quickly translate into $100,000 per day on the VLCC. Regretfully, that's not always the way it happens. It kind of takes a bit of time. Oil supply and demand, we argue, remains stable. But trade patterns are being challenged. We see that demand for compliant tonnage is growing. We see key Asian importers seeking other supply predominantly than West Africa and Brazil, to some extent, the US. The second tanker fleet growth will remain muted also for 2025, especially if you consider the aging of the fleet. Right now, policy changes create more questions than answers, and outcomes are difficult to analyze. Admit that. World oil trade, and this is an interesting kind of discussion to have, but the world oil trade is now serviced by the oldest fleet in more than two decades. From time, we retain our material upside with our modern soft exposed fleet. And with that, we open up for questions.
Operator: Thank you, dear participants. Please press star one one on your telephone keypad and wait for your name to be announced. We will now take our first question. It comes from the line of Jonathan Chappell from Evercore ISI. Your line is open. Please ask your question.
Jonathan Chappell: Thank you. Good afternoon. Lars, I hate to ask a somewhat open-ended question. I understand that there's a lot of moving parts and no one really knows the outcomes, which you said at the start. And then you gave us a super thorough, you know, different set of all the different moving parts geopolitically. But instead of kind of speculating on what could happen, maybe you can just kind of catch us up on what has happened. All of these events have come out. Some of them are headlines. Some of them are real as far as sanctions are concerned. We saw a spike in the market as soon as the Chinese sanctions were announced. It seems to have pulled back since then. Has there been a real change in chartering? Have you seen a reluctance to use ships that may be on sanctions lists that you feel that some of these moves have real teeth to them and could be sustainable in the market?
Lars Barstad: Yes. I think it's a short answer. Kind of with, you know, the game changer was the Shandong province kind of message. You know, that creates the huge spike in Aframax that were willing to list Russian barrels out of and were not OFAC listed to lift oil out of, you know, the ESPO crude coming out kind of northeast of Russia. You know, for those vessels that were willing to do that trade, they saw rates north of half a million dollars per day for a short period of time. We have seen Iranian crude backing up. So, basically, you know, Iranian crude is now being exported to Malaysia, staying there, instead of being rebranded and going elsewhere. So, you know, I actually don't have the number right here with me. But we've seen this at 30 million barrels per day of Iranian. We last saw what's the third? 25 to 30 million barrels of Iranian oil sitting on ships in that area, which is normally the SPS region for this material. We're also seeing a very kind of big move, particularly around the Middle East trade, where or also West Africa, of course, where it's the Western charters that charter in vessels. That is basically for selling compliant oil into the Asian refiners. And this has been a complete step move or step change. But then again, it's like it is in our industry, you know, this moves in waves, we've seen rates appreciate then pull back. And appreciate again pulling back. You know, we hope that we are in some sort of pattern that will kind of grind, you know, northbound gradually. You know, I think kind of the overall complex is too big and also the market has become a bit more efficient over the years. You know, with everybody and their mother having AIS and ability to track and whatnot. So basically, you avoid these panic moves where rates move to $100,000 there in an instant, and it's more like a kind of a steady grind until sentiments and the realization of the change kind of comes into play. But I would say, yes, that we have seen material changes. And also, mind you, we also sense much larger interest from Russian or Russian trade enablers to buy older tonnage, particularly so on the Aframax side.
Jonathan Chappell: Okay. That's very helpful. Second question is just two areas of clarification for Inger. On the PowerPoint presentation, and the breakevens, you said two dry docks for VLCCs and one for Suezmax. Is that it for the year, just three ships?
Inger Klemp: Yeah. That's the only thing for 2025.
Jonathan Chappell: Okay. Great. And then the other one is the administrative expenses. You know, obviously, it was kind of inflated, it looks like, in 2023 and the first half of 2024 took a step down in 3Q, took a massive step down in 4Q. $1.7 million, I think that's the lowest quarterly number in history. Can you just give us a sense for what administrative expenses may look like on a more normalized basis for 2025 and going forward?
Inger Klemp: Yeah. So this quarter, you saw that the admin expenses were $1.7 million recorded. And the reason for that was that we recorded a gain on our synthetic option program. It's a kind of reevaluation gain that you have to do every in the balance sheet, which we then adjusted away from the results this quarter. Due to that, the program has fully vested during the quarter. So and that's the cost was about $8 million. So if you add that back to the $1.7 million, you will come to about close to $10 million. So that's all I normalized, the G&A going forward would be about $9 to $10 million a quarter.
Jonathan Chappell: Great. Thanks, Inger. Thanks, Lars.
Inger Klemp: Hi, Jonathan. Thank you. And now we're going to take our next question. Just give us a moment. And the question comes from the line of Omar Nokta from Jefferies. Your line is open. Please ask your question.
Omar Nokta: Thank you. Hey, Lars and Inger. I appreciate the comments. And as John said, it's a nice thorough kind of deep dive into the kind of the macro landscape, and it seems that the floodgates at some point are there to be opened. I did have maybe just a couple of maybe, you know, Frontline Ltd. specific questions. Maybe just first, so we look at the 1Q figures. They're decent and above what the final 4Q numbers were. We know that discharge accounting, as you were saying earlier in the call, maybe overstates it a bit due to the end quarter ballast days. But I guess just on the final portion, you have 80% of the VLCCs booked, 77% of the Suezmax, and 64% for the LR2s. Just on that, what portion can we assume for the remainder of the quarter is gonna be basically ballast and non-earning?
Inger Klemp: Well, I think it's difficult in a way to be absolutely precise on what will be the remaining part of the quarter. We don't really know. So sorry to say, but I guess what you can do in a way is that if you look at the pattern, historic pattern of what we come in as actual compared to what we guide at for the quarter, that can be a rule of thumb in a way for this quarter as well, if you get what I mean.
Omar Nokta: Okay. Yeah. So it seems perhaps then that it may be the final portion of the VLCCs are probably all zero. Then there's a bit more on the Suezmax and LR2s.
Inger Klemp: Yeah. Because if you look at, let's say, usually, what we have as actual rates compared to what we guide for that quarter for the VLCCs, for instance, is probably around 80 to 85% of the guiding in a way. That's more or less where we end in a way. It can vary a bit. That's why I'm saying it's 85. Depending upon how large a portion you have covered in the guidance that they're giving in a way. Because the guidance that they give now is for 80% covered. While we, for the previous quarter, I think we had a 70. 70 something. So it really matters in a way how many days you have covered in your guidance. Then obviously, the reduction is less for the rest of the quarter in a way if you have high percentage coverage in a way. You see what I mean?
Lars Barstad: Well, also, Omar, to make it further complicated, it does actually get affected by the trading patterns at the time. Some quarters, we do a lot of long voyages on predicted VLCCs. And then, obviously, since we account for load to discharge and for those listening in, not understanding that, is that we can only account for income being generated after the ship has loaded. So it means that the ballast leg will virtually be zero. And, you know, if you put a large portion of your fleet into kind of China, the US Gulf trading, then suddenly, these ballast legs become quite material. For the Suezmax as well, those trading patterns change quite a lot from month to month. Yeah. Print on Monday, so that has a tendency to be more stable.
Omar Nokta: Okay. And I appreciate you explaining it. No. That's helpful. And then just second question, just following up. We noticed a bit of a widespread between the Frontline Ltd. ships and, you know, the Euronav vessels. It was over $11,000 per day this quarter. You know, they had converged to much closer levels, you know, the prior two quarters. What drove that separation?
Lars Barstad: Well, it's, you know, we try to trade our vessels kind of the best way we think they're gonna move. What's happened was in Q4, we were just as bullish as most investors and the people around us, expecting a spike towards the end of the quarter. Then in order to commit to these long voyages, you know, Brazil East, US Gulf East, North Sea, you'd rather do that on an eco scrubber-fitted vessel that gives you the best bang for the buck for these long voyages. Then you keep the non-scrubber vessels in the Middle East for these 42 to 46-day voyages where you can capture a lot more of a spike. This obviously proved wrong, but this explains a large part of that spread. I think it's also important to note that there are a limited amount of cargoes you can kind of take out of the US Gulf. Frontline Ltd. is probably one of the largest distorts of US crude. We're also amongst the top tiers on the Brazilian crude. But with the 41 vessel fleet on the VLCC, we're actually taking out probably as big a market share as we can get. But what I said initially is why this spread widened. We basically tried to keep the powder dry for an upswing towards the end of the quarter. This never came about.
Omar Nokta: Got it. Thank you. I appreciate that, Lars and Inger.
Lars Barstad: Thank you, Omar. Thank you.
Operator: Dear participants, as a reminder, if you wish to ask a question, please press star one one on your telephone keypad. We will now take our next question. And the question comes from the line of Sherif Elmaghrabi from BTIG. Your line is open. Please ask your question.
Sherif Elmaghrabi: Hi. Joining late. So I apologize if this has been asked before, but you built up a pretty substantial amount of dry powder. But, you know, a chunk of the fleet is aging out. Meanwhile, the order book or new build deliveries are happening kind of at a slow rate, which combined, you might say, speaks to an increasing scarcity of sale and purchase activity. So are there any other ways you see that you can deploy capital if opportunities for on-the-water tonnage dry up?
Lars Barstad: Not really at this moment, to be quite honest. You know, we still want this conviction. You know, why our order book is empty is basically because we want to see the proof in the pudding. You know, we have conviction, but we haven't seen the proof in the pudding yet. Resale and new building prices have not really corrected in any kind of way. The capacity that's out there has been engaged for by container orders and other asset classes, particularly accelerating in the second half of last year. So, you know, facing a $125 million ticket for a new VLCC, you know, we need consistently $50,000 to $55,000 per day for 20 years in order to have any reasonable return. And, you know, we'd rather see $50,000 plus before we get the confidence to make that investment. So that's why we decided to basically hand the little money we have or not little, actually. We do churn out a fair bit on dividends. Hand it to you as an investor, and then you could choose to reinvest and deploy it either in Frontline Ltd. or elsewhere.
Sherif Elmaghrabi: Thanks. And then, you know, because you touched on it. When it comes to new build ordering, if, you know, if and when that happens, does blacklisting and sanction activity by the US on Chinese yards do anything to constrain where you consider new builds or not really?
Lars Barstad: I think it's a bit too early. To, you know, if you read the headlines, I would obviously not even consider ordering a Chinese vessel right now. Not that we are, but so I think kind of for the market in general, it probably puts everything a bit on the wait until we get some clarity on what the outcome will eventually be. We do question whether this is at all possible. So, you know, kind of building capacity is an issue for the globe. The amount of goods and material and energy that transports or that sails on the seven seas is a material part of a global economy. And we know that, you know, Japan is kind of losing its ability to effectively or efficiently build ships. Korea has become a high-cost building country. China is the only one that offers kind of capacity. So it's gonna be interesting to see how this plays out. But and so we're basically in sit and watch mode.
Sherif Elmaghrabi: Lars, thanks for taking my questions.
Lars Barstad: Thank you. Thank you.
Operator: Now we're going to take our next question. And the question comes from the line of Devon Sangoy from Teich Investment. Your line is open. Please ask your question.
Devon Sangoy: Hi, Lars. I just want to ask you, as the environment becomes very volatile, what's the strategy you'll use to, you know, do forward booking or what's the strategy? Because you mentioned that you expected something in Q4 and the market did completely differently.
Lars Barstad: Yeah. No. It's, you know, this is the challenge you have as a shipowner is that, you know, the market we move in is not efficient, you could say. So it's not, you know, you don't have all information in front of you when you make decisions. Why we have the belief that you would get the spur of activity towards the end of Q4 is basically years of seasonality patterns. And it has to do with kind of the cold season normally in the Northern Hemisphere, where most people live. But there is no kind of specific strategy out here to mention to you. You know? The ability we have is to try and tilt our fleet from doing very long distances to short distances. So we'll obviously want to do the long distances in a high-paying market. And, you know, in a struggling or a market that's challenged, we would rather, you know, just go the shortest way to have the opportunity to re-fix at that higher level. But there's not more science behind it than that. What we are not engaging in, so this is actually a very good question, Devon, is taking time to charter. We believe that we're better off keeping our vessels in the spot market in the current market environment. You know, we would increase our time charter cover materially if we came to a situation where the market was willing to pay us what we feel is a reasonable return on equity. We don't think that is the case right now. So in that strategy discussion, one is how we conduct our spot business, which was, you know, the question I answered earlier on Q4. The other one is obviously how we act in taking cover.
Devon Sangoy: Last, the second thing is how the US percentage, you know, supporting Russia. If there is a truce between them and the sanctions on Russia are lifted, does that mean that more oil can flow through, you know, or I would say the black ships will take tonnage reduction?
Lars Barstad: Yeah. If I got your question correctly, so if sanctions are lifted on Russia, we may think we would reverse.
Devon Sangoy: Does that mean that the compliance fleet will have a higher market share?
Lars Barstad: Yeah. Well, kind of what we've initially said about half of the fleet currently servicing the Russian market will probably become compliant and still be there. But the market dynamics would be that Russian oil would stay local. You know, Russian oil is its natural home. It's Europe. And that will come up alter or reversing the trading patterns to Russian oil going into Europe and some to the US and Latin America. And then the rest of the Atlantic basin oils would revert to going into the east, and that's the long-term arcs. So we think it could be temporarily negative for Aframax and Suezmax. But you need to look at the age profile of this fleet. But for the VLCCs, you know, it's natural to think that it would be beneficial.
Devon Sangoy: Okay. And in the from 1.0, he made sure that the Iran export will reduce to close to, like, less than a million dollars or one lakh tons per day. If that has to go through again, income to 2.0, then how does it impact the demand for VLCCs? Also, how does it change the dynamics?
Lars Barstad: You're saying if Iranian oil is sanctioned or if it's like...
Devon Sangoy: No. So the export is reduced because I think in 1.0, they made sure that there's no export. More or less. Yeah. Hardly anything.
Lars Barstad: Yeah. No. So, you know, kind of the second half of last year, Iran represented about 10 to 15% of Chinese oil imports. So China would then need to replace that crude. And that would likely be compliant crude. I would assume from OPEC or the Middle East. That oil would have to be transported on compliant vessels. So it would actually be an incremental demand for somewhere between 30 and 45 VLCCs on an annual basis. So that would be a very benefit predominantly for VLCCs, I would assume.
Devon Sangoy: You have seen that happening, or is it still in transit?
Lars Barstad: We've seen it happening to some degree. You know? But, basically, the interesting thing to watch is that you see Iranian and Russian and Venezuelan export hasn't really tapered off quickly here. But if you look at the other side of the equation and look at the imports of Iranian, Russian, and Venezuelan crude, that has fallen quite dramatically, actually.
Devon Sangoy: Okay. Thanks, Lars. Pleasure talking to you.
Lars Barstad: Thank you.
Operator: Thank you. There are no further speakers. There are no further questions for today. I would now like to hand the conference over to a speaker, Lars Barstad, for any closing remarks.
Lars Barstad: Yeah. Thank you very much, and thank you very much for calling in. Well, it's extremely exciting times. I'd like to reiterate that at Frontline Ltd., we continue to fix ships every day. It's actually a quite well-functioning tanker market out there. Despite all the noise, and we're obviously excited to see how these outcomes play out, but it's extremely difficult to analyze and put a lot of value in it. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.